Operator: Good morning, and welcome to the ATI Second Quarter 2021 Results Conference Call. [Operator Instructions] Please note, this event is being recorded. At this time, I would like to turn the conference over to Scott Minder, Vice President of Investor Relations, Corporate Communications. Please go ahead. 
Scott Minder: Thank you. Good morning, and welcome to ATI's Second Quarter 2021 Earnings Call. Today's discussion is being broadcast on our website. Participating in today's call are Bob Wetherbee, Board Chair, President and CEO; and  Don Newman, Senior Vice President and CFO. Bob and Don will focus on our second quarter highlights and key messages, but may refer to certain slides within their remarks. These slides are available on our website. They provide additional color and details on our results and outlook. After our prepared remarks, we'll open the line for questions.  
 As a reminder, all forward-looking statements are subject to various assumptions and caveats. These are noted in the earnings release and in the slide presentation. 
 Now I'll turn the call over to Bob. 
Robert Wetherbee: Thanks, Scott. Here we are over a year since the world went into lockdown as a result of the COVID-19 pandemic. So much has changed in the last 4 quarters, and it's easy to focus on the more challenging aspects of this period.  
 At the same time, it's important to remember that we also changed some things, those within our control for the better. Like many, we quickly innovated within our digital technology infrastructure to thrive on remote collaboration. Technology allowed us to streamline our processes and work more efficiently overall. We'll continue to drive these improvements utilizing new skills and tools to provide more flexibility to our employees and create better connections with our customers, and we'll capture the associated structural cost savings.  
 I'm pleased to see millions of people returning to the skies for the summer travel season. Every day seems to bring another sign of recovery in airframe and jet engine demand. The current economic reawakening and everything from travel to consumer goods to energy is real.  
 Despite lingering pandemic-related uncertainties, I'm confident the desire to travel is significant and growing worldwide. Ultimately, that drives the sustained lengthy backlog for any airliner programs. At ATI, we're ready to produce what our customers need.  
 With that as a backdrop, we generated second quarter financial results that showcase the improving trends in our end markets. At the same time, they reflect the negative impact of the recently concluded strike by the United Steelworkers at our Specialty Rolled Products or SRP business. Excluding the $40 million cost attributed to the strike and a small improvement in our restructuring reserves, we lost $0.12 per share in the second quarter. Despite the earnings loss, the aerospace recovery is readily apparent beneath the headline numbers.  
 Our jet engine product revenues were up over 20% compared to the first quarter 2021. The High Performance Materials & Components segment, or HPMC, saw its margins improve by more than 200 basis points sequentially and nearly 300 basis points year-over-year. Very good news that Don will cover in more depth in a few minutes.  
 As we discussed on the first quarter earnings call in April, we were incredibly disappointed that the union leadership chose to call a strike at our major SRP operating locations. Our robust continuity plans allowed us to maintain operations during the strike. The new 4-year labor agreement was ratified on July 13. Many represented employees returned to their positions within a week of ratification. We're safely and efficiently ramping up operations to their prior production levels. We're on track and expect to be back to full production capabilities in September.  
 I've been asked many times by many people inside and outside of ATI, some form of the question, was the strike worth it? Clearly, we would have preferred to continue negotiating to reach an agreement without a work stoppage. A competitive cost structure for this business is imperative. Left unresolved, we'd be facing rapidly escalating health care costs that were on a trajectory to double every 7 years. Product pricing can increase fast enough to offset that level of health care inflation. The SRP business would have fallen behind its competition. We were compelled to act now to find a solution.  
 Under this contract, annual health care cost inflation will be capped at 3.5%. The represented employees are responsible to take any necessary actions required to cover annual overage amounts. The SRP business is now appropriately focused on getting back to full speed, providing our customers with the materials and components they need. I want to thank our customers for partnering with us to get through this challenging time. Also, thank you to the very dedicated employees who ran our facilities during the strike, supplying our customers and protecting our business.  
 To close out my comments related to the SRP business, I have 2 pieces of good news to share. First, the transformation initiative to exit standard stainless sheet products is on track and will be completed by year-end 2021 as planned. We're making excellent progress on consolidating our footprint. 
 Second, we recently signed a long-term agreement with JSW Steel USA to toll convert a significant percentage of their Ohio-produced carbon steel slabs through our hot rolling and processing facility in Pennsylvania. This multiyear agreement provides a meaningful opportunity to increase our asset utilization and cash flow. We're happy to partner with JSW to bring the exceptional quality and gauge control of our world-class HRPF to their customers.  
 We're currently ramping up production. Congratulations to the operating team for setting a production record for carbon steel toll conversion volume in the month of June, even in the midst of the strike at this facility. So what are we seeing in our key end markets? Well, for the first time in several quarters, the news is encouraging across most of our portfolio. 
 To ensure an apples-to-apples comparison, the market data shown in the quarterly earnings presentation and referenced in my comments, excludes SRP sales from all periods. This removes the strike impact from the comparison. I believe this provides the most realistic view of our underlying performance and the true market demand. 
 Using that context, sales increased sequentially in each of our major end markets with the exception of electronics, which is being compared to record results in Q1. On a year-to-year basis, we grew sales in most of our key end markets, most notably Energy, up 60%; and Defense, up 22%. 
 We continue to gain momentum in our largest key market, commercial jet engines. This is principally driven by the recovery of narrowbody platforms, particularly engine programs used on the A320 and A321 aircraft families. 
 As we said on the last few calls, the demand recovery began in our Forgings business where lead times are 6 to 9 months ahead of engine production. Due to the market recovery and our recent share gains, our Forgings revenue exceeded both the prior year and the prior quarter levels. We expect this positive growth trend to continue and expand as increased production rates on the 737 MAX become a larger part of our order book.  
 The return to growth in Jet Engine Specialty Materials has lagged Forgings, largely due to pockets of stranded inventory throughout the supply chain. As expected, this inventory is depleting, albeit at an uneven pace, according to customer and product form.  
 In the second quarter, sales of our Specialty Materials like Rene 65 for LEAP engines grew significantly compared to the first quarter, but were still below prior year. We anticipate demand for materials to continue to increase for narrowbody engines, but lag for widebody engines. This uneven pull, coupled with any remaining channel inventory will make for a somewhat choppy growth trajectory quarter-to-quarter for the balance of the year.  
 Rounding out commercial aerospace, the airframe market continues to be soft. This is largely due to the much discussed sluggish demand for widebody aircraft due to subdued international travel and stranded supply chain inventory. We expect this trend to continue throughout 2021 and possibly into early 2022 as the industry awaits the catalyst for increased widebody production rates.  
 Our newly won European OEM Airframe business begins production in the second half of 2021, initially at low levels. This will partially offset the anticipated destocking pressure at our primary domestic airframe customer.  
 As I mentioned earlier, Defense continues to be a growth market for ATI. 
 Our broad materials portfolio serves customers with a wide range of demanding applications, ensuring we can be successful under almost any defense budget or economic backdrop. 
 Our second quarter growth was driven by naval nuclear applications and rotorcraft products to support increased demand for U.S. navy ships and heavy-lift helicopters. We expect our Defense business to continue to grow and are seeing titanium armor plate demand return in the second half of 2021, in support of a new U.K. armored vehicle program.  
 Turning to the Energy markets. We experienced significant growth, largely in our specialty energy portfolio. These increases primarily supported land-based gas turbine production in Asia where energy demand is increasing. Sales to civilian nuclear customers added to this growth.  
 Looking ahead, we see continued improvements in Energy markets as the world slowly reopens from pandemic lockdowns and economic growth drives increasing energy needs.  
 Wrapping up the market's discussions, results were mixed in our 2 smaller differentiated markets. We saw the expected return to growth in medical applications as hospitals perform more elective surgeries and diagnostic testing procedures. Both our MRI and Implant Materials sales increased sequentially. We expect demand to improve modestly over the coming quarters, led by MRI.  
 In the Electronics market, sales decreased from record levels in the first quarter of 2021, but grew year-over-year. Sales of ATI's specialty alloy powders increased versus both prior periods. We expect demand to remain strong for these products for the balance of 2021. 
 With that, I'll turn the call over to Don to cover our second quarter financial results in detail and provide our financial performance outlook for the third quarter and full year. After he concludes, I'll offer a few final thoughts before opening the line for your questions. Don? 
Donald Newman: Thank, Bob. I'd like to cover several areas, including our Q2 financial performance, our balance sheet and our outlook. On a reported basis, ATI lost $0.39 per share in the second quarter. Excluding $40 million of costs associated with the strike and a small favorable true-up to our restructuring reserves, the company lost $0.12 per share in the second quarter.  
 To get a true sense of our performance, you have to go beyond the headlines. As we told you on the last 2 earnings calls, the commercial aerospace recovery, particularly in jet engines, is gaining momentum and becoming more broad-based within our business. This is readily apparent in our HPMC segment results where jet engines account for more than 40% of overall segment revenues. As Bob shared, jet engine revenues increased by more than 20% sequentially for ATI as a whole and for HPMC.  
 Volumes in our Forgings business continue to expand, building on growth in the prior 2 quarters. Underlying demand for our Specialty Materials accelerated meaningfully for the first time since the pandemic began. In addition to jet engines, revenues in each of HPMC's key end markets grew versus the first quarter, led by specialty energy, including materials for land-based gas turbines produced in Asia.  
 As a result of our profitable jet engine growth and increased asset utilization, HPMC EBITDA margins increased by 220 basis points compared to the first quarter and nearly 300 basis points versus the second quarter of 2020. We anticipate third quarter growth across HPMC's key end markets, most notably jet engine and specialty energy and further utilization benefits from increasing production rates across our network.  
 We expect robust incremental margins over the coming quarters as profitable jet engine revenues increased and structural cost improvements executed throughout 2020 are maintained.  
 Turning to AA&S. Q2 financial results were clearly impacted by the 105-day strike in the SRP business. It should be noted that while we removed strike-related costs from segment earnings, segment revenues also declined nearly $140 million versus the first quarter due to plant outages and resulting production declines. No adjustments were made for these revenue headwinds. Despite the short-term impacts to 2021 performance, we achieved the needed long-term cost structure changes that will help SRP compete more effectively in the specialty materials marketplace.  
 Sticking with the AA&S segment, our Precision Rolled Strip business in Asia continues to operate at robust levels with revenues in line with its record-setting first quarter, well above prior year. Earnings from this business were below first quarter levels due to unfavorable mix. Earnings from our SA&C business were below the first quarter and prior year, largely due to unfavorable mix and the elevated production costs. 
 Looking ahead in the AA&S segment, we expect the SRP business to begin to recover in August. As a result of the strike continuing throughout most of July and the inefficiencies associated with the production re-ramp, we anticipate approximately $25 million of additional third quarter costs. We expect the Asian Precision Rolled Strip business to produce solid results in what is generally its strongest seasonal quarter as device manufacturers prepare for the year-end holiday season.  
 Our SA&C business will likely have marginally lower sequential earnings due to its traditional third quarter preventive maintenance outages. It's worth noting that second quarter corporate costs and closed company expenses were elevated compared to prior year and prior quarter. Corporate costs were above prior year largely due to incentive compensation accruals and higher than the prior quarter, mainly due to foreign exchange losses. Closed company expenses were above first quarter and prior year, primarily due to nonrepeating benefits in both prior periods.  
 As we've discussed over the past several quarters, our decisive 2020 cost actions continue to benefit the business. They serve to limit decremental margins while year-over-year revenues declined. We fully expect them to benefit the bottom line when revenues return to year-over-year growth. 
 The HPMC segment's second quarter results offer a preview of what is expected in future quarters. While HPMC revenues were flat versus prior year, earnings grew 30%. We achieved this earnings growth largely as a result of increasing production rates at many segment facilities coupled with streamlined cost structures. However, we still have room to improve. Some facilities such as our nickel powder operations at Bakers, North Carolina, continue to operate on limited schedules due to low demand levels. While others still produce large quantities of lower-margin transactional products as commercial aerospace markets recover.  
 Now let's move to the balance sheet and liquidity. As has been the case throughout the pandemic, we've taken actions to improve our debt profile and have prioritized our balance sheet to ensure an ample cushion to weather any storm. Despite the recent strike, we ended the quarter with roughly $830 million of total liquidity, including at least $475 million of cash. 
 Our second quarter managed working capital levels increased, partially from elevated inventories in our SRP business due to strike-related inefficiencies. Accounts receivable and accounts payable balances also contributed to the second quarter's higher working capital levels. We continue to focus on inventory velocity as we ramp production. We expect working capital levels as a percent of sales to improve significantly in the second half of the year.  
 Looking ahead, we anticipate contributing up to $50 million to our U.S. defined benefit pension plan in the third quarter to improve our funding status and long-term leverage profile. The deposit is above and beyond minimum contribution requirements, but it is consistent with our intent to reduce our pension exposure. Additionally, we'll continue to actively manage our debt maturity profile in the coming quarters.  
 Before I turn the call back over to Bob, I want to provide our third quarter outlook and update our full year free cash flow expectations. As I said earlier, we expect our Jet Engine business to continue to improve, led by growth in Specialty Materials and our ongoing cost structure benefits. 
 In the AA&S segment, we anticipate higher sequential SRP volumes. We'll also see increased maintenance and production costs due to a temporary production outage related to our transformation efforts. 
 Our SA&C business will be negatively impacted sequentially by its traditional summer maintenance outages, creating lower revenues and higher expenses versus the second quarter. We expect earnings from our Asian Precision Rolled Strip business to increase sequentially due to higher electronics volumes.  
 As a result of the new USW labor agreement, we reduced our contractual funding requirements for post-retirement medical benefits. This will result in a onetime noncash pretax gain of approximately $65 million in our third quarter results. This benefit and associated $15 million tax charge will be excluded from our adjusted earnings. 
 In aggregate, we expect third quarter adjusted earnings to be between breakeven and a loss of $0.08 per share, excluding strike-related costs and the $65 million post-retirement medical accounting gain. 
 HPMC segment gains will likely be partially offset by AA&S segment maintenance outages and production expense headwinds.  
 While we are not able to accurately predict fourth quarter results due to lingering uncertainties in the aerospace production ramp, we expect adjusted earnings to return to profitability in Q4 and continue to improve in 2022.  
 Finally, due to the negative strike-related earnings impact, we now anticipate full year free cash flow to be at breakeven to slightly positive levels. We'll work diligently to offset the strike cash impact, continuing to be disciplined on capital spending and aggressively seeking working capital improvements throughout the back half of the year. I'm confident we'll meet our goal of generating positive free cash flow in 2021.  
 We're excited to accelerate along this path of end market recovery and fully expect a leaner ATI to showcase its capabilities, expanding market shares and margins along the way.  
 With that, I'll turn the call back over to Bob for some closing remarks. Bob? 
Robert Wetherbee: Thanks, Don. Our second quarter financial results showed solid sequential improvement. We're seeing commercial aerospace recovery and our forward order load. We feel momentum building at ATI, particularly within our HPMC segment. Improving aerospace market conditions will create an outsized benefit for ATI as we streamlined our cost structures and have higher shares of critical, high-growth customer programs. I'm confident that when these volumes return to pre-pandemic levels, we'll be an even stronger and more profitable company.  
 The AA&S segment will be well served by growth in defense, energy, medical and electronics. Transformation is on track in our Specialty Rolled Products business. We've made significant and structural changes to rationalize our product portfolio, consolidate and upgrade our footprint and align our cost structure for future success. We're building a leaner and more profitable SRP business that out earns its cost of capital, has substantial profitable growth opportunities and compete successfully for investment within the company.  
 I'll close with 3 important points. ATI is a growth-focused company with the cost structure we need for success. We're well positioned in key markets to achieve higher than GDP growth over the long term. And transformation of our product portfolio is on track and will deliver significant benefits. With a clear strategy and innovative team, we're accelerating our future.  
 And with that, I'll ask the operator to open the line for questions. 
Operator: [Operator Instructions] The first question comes from Seth Seifman with JPMorgan. 
Seth Seifman: I was wondering if you could talk a little bit about the anticipated impact of the latest -- Boeing's latest rate actions on 787 for the second half of the year? 
Robert Wetherbee: Seth, this is Bob. I think you can look at the 787 news, doesn't have a real material impact for us in the back half of the year. We continue to see the business coming from that particular OEM stabilizing, albeit at relatively low levels, but nothing significant in the near term. Obviously, we continue to monitor the longer-term and still have our expectations, our forward looks as international travel is probably going to be back by late '23, early '24. But we're not seeing any near-term impact from what's going on with the 787. 
Seth Seifman: Okay. Great. And then maybe just 1 follow-up, if I could. In the HPMC business, the -- I guess the Specialty Materials there, the non-forging piece of it, do you guys ever disclose what the breakdown of that is between kind of narrowbody exposure and widebody exposure? 
Robert Wetherbee: We don't disclose it because we don't always have the greatest visibility in the airframe side. When we sell a billet, bar, rod that comes out of our Specialty Materials business, it obviously goes into their distribution system and it varies -- the OEM will move product around depending on what they need and where they need it. So we don't actually have the clearest visibility to give you an answer, but we haven't also historically disclosed it. 
Operator: The next question comes from Phil Gibbs with KeyBanc Capital Markets. 
Philip Gibbs: On AA&S, you said $25 million of additional costs. $25 million just means that's what you think the impact is going to be not in addition to what you already saw. Is that right? 
Donald Newman: Yes. This is Don, Phil. So the $25 million is our estimate of the incremental cost in Q3 related to the strike event. If you think about Q2, we shared that there was about $40 million of strike-related costs. So another $25 million in Q3. Good news is we don't expect any additional costs in Q4. 
 So if you look across the 2 quarters that were affected, Q2, Q3, total is $65 million, $40 million plus $25 million. Suffice it to say, we're very, very happy that our represented employees are back to work, and we're re-ramping the business and addressing our customers' needs and getting this burn behind us. 
Philip Gibbs: And what are you expecting for inventories over the balance of the year? I had thought that you were going to chug through some of those inventories in the second quarter, just as you kind of shifted out of inventory, but that number surprised me to the upside. What are you expecting on the inventory side over the balance of the year? 
Donald Newman: Yes. What I would say is we are certainly expecting a healthy working capital release in the second half of the year. For the SRP business specifically, we had talked about the expectation that in Q2 we'd see a heavy release of inventory during the strike. We didn't accomplish as much as we had liked to in that release, but the good news is it's deferred, it's not loss. 
 So we would expect in the second half to see more of that release happening in the standard stainless space. And not just standard stainless, to be quite clear, SRP sells quite a number of other products that we should also see a ramp in terms of shipping levels in those products as well. 
Philip Gibbs: Okay. And on pension and OPEB right now, your net liability, I think, is a little under $1 billion. You made mention of making a discretionary contribution in the third quarter. You also made mention about something on OPEB that's getting trued up here in the third quarter, and interest rates and returns have been a little bit in your favor. As you look ahead, I'm assuming nothing changes all too dramatically. Where could that pretax liability, the $950-ish, where could that go? 
Donald Newman: Well, so first, I'm happy to say that we are a lot under $1 billion. We ended last year 2020 with $674 million of net pension obligation and an OPEB obligation of a couple hundred million. So as you're pointing out, we're going to see that OPEB obligation drop by about $65 million in Q3, so that's a nice decrease. 
 Then we're continuing to stay focused on the glide path, especially around the pension. We're -- we've said over the last several calls that we are committed to working down that pension obligation and getting it to a fully funded status, and we're keeping that focus. We think that we can achieve that over the next handful of years and make the pension irrelevant from a leverage standpoint. And that's consistent with our focus on delevering. 
 We also believe that we have some -- if the books close today, we'd probably see a benefit around discount rates, which are an important element of calculating the net pension and OPEB obligations. And so if you look at our 10-K, it will give you some sensitivities, Phil. But for every 50 basis points of increase in discount rate, we would expect about $140 million, $150 million decrease in the pension obligation. So that -- the balances are definitely working down from where we saw them in the last couple of years. 
Operator: The next question comes from Gautam Khanna with Cowen & Company. 
Daniel Flick: This is Dan on for Gautam. So could you quickly explain what explains the year-over-year decline at next-gen jet engines in the quarter? 
Donald Newman: Largely mix, I think, is how you want to think about it. 
Robert Wetherbee: Great. I think that's what it is, it's the mix. 
Daniel Flick: Okay. Got it. Great. And then for the strike-related sales delays, are those going to be caught up? Or like are they deferred sales? Or were they lost entirely? 
Donald Newman: I think what you would see is a mix of -- certainly, with transactional sales, of course, there's -- it's more likely that those missed sales were not going to make up. But there is, we believe, the opportunity to make up a healthy amount of the sales that were missed in Q2. And we'll make every effort, obviously, in the business to do just that. So our guidance does reflect our expectation that we'll be picking up some of those missed sales in Q3 and then our cash flow guidance also expects that for the balance of the year. 
Robert Wetherbee: If I can a little color to that for Darren. I think about the comments we made about accelerating our exit of standard stainless sheet products. Clearly, a lot of those went through the distribution channel, and we're not going to make those up. It actually accelerated. The curve of our exit shifted in the second quarter. And then at the same time, on our Specialty Products, out of that business, we saw distribution or some of our customers actually deplete their inventory. 
 So there'll be -- there should be good demand to kind of get those stocks back in place as we start to see the ramp coming in other places. So I think Don's comments were right. Not going to see the replacement of the transactional standard stainless stuff, but clearly, the specialty, we feel good about having those orders for the future. 
Daniel Flick: So do you think what can be made up will be made up in Q3? 
Donald Newman: I think what can be made up will be made up in the second half of the year. 
Operator: The next question comes from Josh Sullivan with The Benchmark Company. 
Joshua Sullivan: Can you just talk a little bit about the long-term cost out you guys have achieved through the downturn? And then maybe what you think you can keep long term versus some of these new inflationary pressures, be it labor, materials? Just as we ramp back up. The quarter clearly shows the benefit of volumes here, but curious if you're able to hold on to that just given some of these inflationary pressures that are coming through? 
Donald Newman: Yes, sure. This is Don. I'm going to -- I'll address that. So think in terms of 2 baskets. One basket is what we will be able to achieve in 2020. And our cost takeout capture in 2020 was about $170 million. The run rate on that was about $270 million to $275 million. And the way to think about that from a structural standpoint is we believe that of that $270 million run rate, about $100 million is structural. So that's a gift that keeps giving when it comes to our financial performance in the future. 
 The second basket you want to think about is the cost savings associated with our transformation of the SRP business. And that's an incremental $50 million. And as you can imagine, as we've talked about that transformational effort, we're consolidating footprints, we're improving flow pads on our products, we're reducing transportation costs and just -- it brings it with it a lot of benefits from a cost standpoint. Not just costs, of course, there's also mix and other benefits we'll get from that transformation. But -- and just like that $100 million structural benefit in the first basket, that $50 million benefit from the transformation should also stick with us as a structural good guy. And so we'll benefit off into the future from that effort. 
 One other thing, by the way, that I would add, when you talk about how to think about the cost structures going forward. With that transformation project, one of the benefits that we're going to get beyond cost reductions and efficiencies, we're significantly reducing the volatility in that business related to metal prices. We expect that, for example, with nickel prices, roughly 2/3 of our current volatility around nickel is going to be eliminated as we exit standard stainless sheet as part of that transformation of SRP. Hopefully, that gives you an idea of the new profile. 
Joshua Sullivan: Yes. And then just secondly, is there any way to frame utilization for us? Now that volumes are on the upswing and given the leverage you guys can get on the commercial side, is there anything you can give us on the various segments, where utilization has been, where we are now to something with the number of shifts you guys have? Or just any way to frame utilization conversation. 
Robert Wetherbee: Yes. You have 3 minutes or less, Josh, hopefully. 
Joshua Sullivan: Any way you want to do. 
Robert Wetherbee: So I think we'll start with our SM business, our Specialty Materials business. I would say we're probably, from an equipment utilization, probably at the bottom of the trough, clearly, we've started to see the uptick. So we're probably at 2/3 where we want to be, but we have a couple of projects coming that we slowed down. It will be coming online in the next year or 2. But I'd say probably at SM, we're probably in the 65% utilization rate. But obviously, we've adjusted our crewing to be cost effective. So that's really the lever for us to ramp up.
 On our Forge Products, I would say it's a little bit higher than that probably. We also have -- based on what we have online today in capacity, it's probably in the 75% utilization. But you're going to see we've got some ISO and heat treating capacity coming on. We opened a new facility in Wisconsin for machining and inspection. So there should be some upside there. So the denominator is going to change a little bit in Forgings. But it's feeling pretty good in terms of looking forward.
 In our SA&C business, in the electronics space, the nuclear space, we're probably at that 85%, 90% rate. We've got some upgrades and some expansions coming there for organic growth. But it's a very stable business. Obviously, we have what Don talked about with the summer maintenance outages. That's kind of a refinery there that we have in SA&C. So it kind of consumes itself a little bit. So we have to have annual maintenance. But it's been a good stable business for us throughout. So it should return -- but I'd say probably 85% is a safe number for SA&C.
 And then obviously, we're going through the transformation of our SRP business. So we are resetting the denominator. If you said to me, hey, where are you going to be in your downstream? I'd say we're going to be at probably 70% of where we want to be by the fourth quarter. I got lots of upside. Clearly, our HRPF, which we've talked a lot about today, is in the 30% range. But as we see line of sight to go to 50%, and then through 2022, could even get up to 70%. So we're pretty excited about what could come there.
 And then lastly, I would say, in our Asian Precision Rolled Strip business, which is predominantly electronics driven, we're probably closer to the 90% -- 95%. But there's always mix rationalization opportunities to really keep enhancing the mix there. So hopefully, that helps. Is that kind of in 3 minutes or less, what you were hoping to hear? 
Joshua Sullivan: Yes. No. Absolutely. 
Operator: The next question comes from Paretosh Misra with Berenberg Capital Markets. 
Paretosh Misra: So with regard to the restructuring actions that you announced last year for the AA&S segment, can you help me understand the year-over-year bridge for Q3? Because I'm thinking on a year-over-year basis, you should see a large decline in revenue, right, just because you shutdown what was that $400 million to $500 million of sales? Or are there other offsets in that math? 
Donald Newman: Yes. You are absolutely right. We announced the exit from standard stainless sheet, which on an annual basis in 2019 was about $450 million of revenue. What we're -- what you'd expect to see, I think, in the second half of the year, as we continue on that glide path to exit that standard stainless sheet business, we still have some inventory that we want to release out of the -- out of our inventory balances related to those standard commodity products. 
 And we're working with our customers to help meet their needs as part of our glide path out of that space. So I think from a standard stainless standpoint, that's what you'd expect to see. Offsetting that, you would expect to see a ramp in terms of sales in the second half related to SRP specifically as we start making up for some of the lost sales that were experienced in the Q2 strike impact. And then some of that strike impact, of course, carries over into Q3. So that's why we talk really about the second half of the year.
 The other impact that would be a beneficial impact to us -- marginally beneficial impact to us in terms of the AA&S and specifically SRP revenue is related to the increase in metal prices. Nickel, as an example, has increased to almost $9 a pound since the beginning of the year, and I think we entered the year at about $7, $7.50. And so that actually creates a benefit to us in terms of sales that will impact the second half, presumably if metal prices remain at these levels. 
Paretosh Misra: Got it. Okay. That's very useful. So as this plays out over the next 6 to 12 months, can you describe in the context of your end market sales mix, which you provide every quarter, which are the end markets that you're moving away from as this commodity business winds down? 
Robert Wetherbee: Paretosh, this is Bob. I think there's 1 channel and 3 markets that I think we would be talking about. So we've talked about standard stainless. A large percentage of the stainless goes through, what I'd call, standard distribution channels. And they tend to be standard with standard gauges, standard grade. 
 So that's the #1 issue for us that we're moving away from. Where those markets go? You'd see it in some of the oil and gas products, certainly automotive applications and in general industrial. You might see some in the building and construction space. You see some in the foodservice space that tend to be in those standard grades. So I think what you'll see for us in the future is the focus on -- clearly, aerospace and defense is the core of what we do. 
 And then we leverage those capabilities into what we call specialty energy, which we talked about today, being land-based gas turbines. We talked about certainly the medical space that we see good growth, and certainly in electronics. So the backing away is oil and gas, automotive and the kind of the general industrial stuff as well as more OEM business. We always have distributors in the mix because they provide an important service to our customers, but will be less reliant on the distribution channels in the future. 
Paretosh Misra: Got it. And maybe a last one. Just going back to the free cash flow guidance, the $40 million cut. Just wondering if you can provide some more color as to what are the moving parts? Is that most -- like how much is EBITDA versus the strike-related costs versus working capital perhaps? 
Donald Newman: Yes. So you're right. When you look at the free cash flow guidance for 2021, what you see in new guidance is breakeven to a slight positive on free cash flow. The headline in terms of the biggest part of that bridge to the revised guidance is really about the strike impact. If you think about the $40 million of costs in Q2 and the $25 million that we're expecting in Q3, that's largely cash related, right? So that's a $65 million headwind that would not have been included in our original guidance. 
 Now of course, we're working to offset that. How are we doing it? Through our working capital release, managing our CapEx with a lot of discipline and then we've got some other cash initiatives that we are working right now that are all pointing us toward let's get to our free cash flow for 2021 in the black. And I think -- I feel very, very confident that we're going to be able to pull the right levers and accomplish the goal that we set out with this new guidance. 
Operator: Mr. Fields with Bank of America. 
Matthew Fields: Just wanted to go back to the free cash flow guidance. So again, this breakeven is slightly positive. That is before pension contribution. And I just -- there's been a lot of sort of movement on that pension. I think last quarter, you said it was going to be below $87 million on the required basis. Now the required pension contribution is $17 million, but you're going to make a voluntary pension contribution of $50 million. Can you just give us what's the actual sort of cash into the pension this year, all in? 
Donald Newman: So first, I'm glad you asked the question because it is an important area. You're right. When we talked about the contributions to the pension plan as we entered 2021, we said is we were going to deposit $87 million, which was then the minimum. Then the federal laws around pension contribution requirements changed. And last quarter, what we told the market is, with the change in the law, presented the opportunity to be more flexible when it came to contributions to the pension plans. 
 And by that time, we had deposited $17 million into the plans in 2021, and we kind of hit pause. We said, "You know what, give us the balance of the year to look at our liquidity and our balance sheet, and we'll make the decision on whether or not we're going to make further contributions." So the flexibility with the new laws, we were taking advantage of. 
 Now we look at our liquidity position and our balance sheet, and we're in great shape. We ended the strike. We have a good trend in terms of end market recoveries. We feel good about making discretionary contributions to the pension plan. 
 So with that, what we've said this quarter is, "Hey, in Q3, expect another $50 million to be deposited." That will make total deposits into the planned $67 million in 2021. 
 From a definition standpoint, around free cash flow, you're 100% right. As we define free cash flow and talk about free cash flow, it excludes contributions to the pension plan. And we do that for a number of reasons, including providing comparability of our cash flow to peers who don't have defined benefit plans. 
 So hopefully, that clarifies for you how to think about our pension contributions. 
Matthew Fields: No, that's very helpful. And then I don't know if it's too early, but is the $50 million voluntary contribution this year take care of the required contribution to the pension for next year, in '22? 
Donald Newman: It likely would. But that's not the way we really think about it. We love the flexibility, right, as I said. But the reality is we're on a glide path. We want to continue to work down our pension plan. And so what's really going to drive our future contributions to the plan would be our desire to drive those plans to fully funded status in the next number of years. 
Matthew Fields: Okay. And then a follow-up for me. Your borrowing base on your ABL was a little bit limited last quarter. It looks like it's further limited this quarter. As you are kind of trying to squeeze out cash from managed working capital, should we expect that revolver to be limited by the borrowing base while you're trying to kind of squeeze out managed working capital? Or do you think you can work that borrowing base back up and gain liquidity that way in the meantime? 
Donald Newman: I think the punchline is you should think of that liquidity from the undrawn ABL at around -- we were about $350 million at the end of this last quarter. Think of it being at that level probably through 2022. And there will be pluses or minuses, right, as we manage our overall liquidity and also work to reduce our working -- managed working capital balances, which will have some effect on the borrowing base. But think in terms of $350-ish million to, say, $400 million of available capacity under the ABL for the next year or so. 
Operator: The next question comes from Richard Safran with Seaport Global. 
Richard Safran: I just have one question this morning. I hope it's not a bit too early to start asking you guys about capital deployment and just how the thinking is going about debt. Specifically, if things continue to improve, if you continue to generate cash, how much longer, for example, do you expect to focus on debt reduction? 
 After that, how are you thinking about the balance between dividends and buybacks? I think a while back, if I'm not mistaken, you were leaning towards dividends, but it's been a while since I think you were asked about this. So I thought maybe you'd give us a bit of an update on what current thinking is? 
Donald Newman: I'm going to take a run at answering that question, Rich. And first, when it comes to capital allocation, where you want to start, obviously, is how much capital do you have available to you? We're in a really enviable position. When you think about our incremental margins and the ability of the business to generate strong cash flows in the ramp, we're in a great spot. 
 And with the cost takeouts that we've put in place, that will increase profitability and cash flow as well. So we're going to have an ample amount of capital available to allocate. Then from a prioritization standpoint, the way I would describe it is a balanced approach. We are prioritizing, deleveraging. That includes bank debt, but it also includes the pension plan. 
 Now we're fortunate in that our debt maturity profile gives us some flexibility. We don't have any near-term maturity. But I expect that we would delever first through growing our EBITDA, which should ramp quite nicely in the recovery and then also be in the position to choose to deploy capital to -- our cash to pay down debt. 
 Then it's the pension, right? That would be the next element of how to think about delevering. Or we're already on this glide path. And even if you look at the contributions in 2021 at $67 million, they're really modest. And so as I pointed out on Phil's question, and we entered the year with $674 million of pension obligation, and we'll continue to make healthy contributions to work that down. And I would expect that, that will be fully funded in the normal course without having to do anything extraordinary over the next handful of years. 
 But it's not all about delevering. It's important because it derisks the business and it strengthens our balance sheet. But we also want to invest for growth. And we've done that across this down cycle, and we'll continue to do it through CapEx. If you think about our CapEx program, our CapEx program is set to accomplish 2 things. One is to continue to maintain our assets and keep those assets healthy. And we do that, and we've done it throughout the down cycle. The second is to grow. 
 And so as you look at growth opportunities, they're typically organic or inorganic, no surprise there. And we have a lot of organic opportunities that we can deploy capital to at very healthy returns. And so we'll continue to prioritize that growth because we think that in combination with the balanced delevering strategy is what's in the best interest of our shareholders.
 Then when it comes to the specific examples that you gave around equity, would we be interested in dividend or share buybacks? I would say at this point, we would say, no, not yet. But we -- it is certainly on our radar, and we are open to doing either one given the right circumstances. And so the -- I would say, more to come on those 2 options. As far as preference of dividend versus share buybacks, of course, it depends a lot on where the share price is. And so it's a bit early in the game for us to make that call. So does that help you, Rich? 
Richard Safran: That actually helps me quite a bit. That was terrific color. 
Operator: And we have time for one last questioner and that will be Chris Olin with Tier4 Research. 
Christopher Olin: I want to touch a little bit on the titanium market, and specifically thinking about the titanium scrap channel as it relates to your melting feedstock. I guess if you would look at the ramp in aircraft production that seems to be planned over the next 18 months and then consider supply or that revert coming back from aerospace, it looks like it's going to get awfully tight as we get closer to 2022. 
 So I guess -- my question to you would be, do you feel comfortable with your ability to capture your future scrap requirements? And I guess second to that, can you remind me how you guys are protected in terms of like contracts or whatnot should scrap pricing serves like we've seen in some of the other metallics? 
Robert Wetherbee: Yes. Chris, this is Bob. In terms of the -- I think your first question was how do we see the scrap market as the titanium demand starts to increase? See, I think because of the widebody situation, it's going to be a while before it gets back to higher than 2019 levels. You're going to see that gradual ramp. Obviously, there's a lot more narrowbodies than widebody. So that's the first issue. I think it's going to be a slower ramp on the titanium demand for structural stuff. So I think that will help us for a period of time, and we'll work through that.
 Clearly, the narrowbodies are strong, but we get a little bit of a delay on the widebody mix. So if that comes back, I think we're confident that we have access to sufficient scrap. I think it's going to be more of a gradual increase in that side versus a big spike, right? So we're seeing good growth in the engine space, 20% growth Q-on-Q for the HPMC engine components in general. So I think you're going to see it be slower. And I think that was the first question that you had. I think -- we don't really see a huge challenge with the scrap side. I think it's something we obviously are into every day.
 In terms of how we're protected if there's a big spike? I think a lot of our scrap is a closed-loop system. And so the customer that we're dealing with or the customers that are in the contracts, it tends to be a nonissue for us on the scrap price spikes, I think, that's probably the best way to look at it. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Scott Minder for any closing remarks. 
Scott Minder: Thank you to all who joined us today. We appreciate your continued interest in ATI. And this concludes our second quarter 2021 conference call. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.